Operator: Good morning, ladies and gentlemen, and welcome to the Thermo Fisher Scientific 2014 Third Quarter Earnings Conference Call. (Operator Instructions). Thank you. I would like to introduce our moderator for the call, Mr. Kenneth Apicerno, Vice President, Investor Relations.
Kenneth Apicerno: Good morning, and thank you for joining us. On the call with me today is Marc Casper, our President and Chief Executive Officer, and Pete Wilver, Senior Vice President and Chief Financial Officer. Please note this call is being webcast live and will be archived on the Investors section of our website, thermofisher.com, under the heading Webcasts & Presentations, until November 21, 2014. A copy of the press release of our 2014 third quarter earnings and future expectations is also available on our website under the heading Financial Results. So before we begin, let me briefly cover our Safe Harbor statement. Various remarks that we may make about the company's future expectations, plans, and prospects constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the company's quarterly report on Form 10-Q for the quarter ended June 28, 2014, under the caption, Risk Factors, which is on file with the Securities and Exchange Commission and also available in the Investors section of our website under the heading SEC Filings. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our estimates change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. Also during this call, we'll be referring to certain financial measures not prepared in accordance with Generally Accepted Accounting Principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is available in the press release of our third quarter 2014 earnings and future expectations and also in the Investors section of our website under the heading Financial Information. Also before we get started, one other item to note is that the commentary we provide on today’s call regarding the company’s total revenue growth and revenue growth by end market and geography are on an organic basis only, and therefore do not include the performance of Life Technologies. So with that, I'll now turn the call over to Marc.
Marc Casper: I am also pleased to report that our integration of Life Technologies is progressing ahead of our expectations. I'll cover more on these highlights later in my remarks, but first let me start with the financials. As you saw in our press release, our total revenue for the quarter grew 31% year-over-year. Adjusted operating income was $915 million in Q3 and we expanded our adjusted operating margin by 250 basis points to 21.9%. Turning to our adjusted EPS performance, we delivered another outstanding quarter with 32% growth in adjusted EPS to $1.71 per share. Our team effectively leveraged our top line growth and drove excellent productivity to the operational discipline of our PPI business system. This resulted in outstanding performance on the bottom line. We also generated good cash flow in Q3. We're continuing to use our strong cash flow to pay down debt and we're on track to reach our target leverage by Q3 of 2015. As we move into 2015, we intend to resume our strategy of disciplined capital deployment. As you know this is a combination of strengthening our strategic position through M&A and retuning capital to our shareholders through buybacks and dividends. I'll now turn to our four key end markets and give you some color on what we saw relative to our overall growth in the quarter. At a high level, we delivered mid single digit growth in three of our end markets and similar to last quarter academic and government grew in the low single digits. Industrial and applied markets our performance here was stronger in Q3 than in the first half of the year. To give you a couple of the highlights. First, we had good performance in our channel, with some nice wins from industrial customers who are recognizing the benefits of our customer value proposition. In addition, our chromatography business reported good growth. In diagnostics and healthcare, we performed well again this quarter. The dynamic in this end market was pretty similar to what we saw in Q2. Our clinical diagnostics businesses had another good quarter with continued strong sales of our biomarker tests. And our growth in immunodiagnostics business was very strong driven largely by demand for allergy tests. In particular, our [Vue] [ph] allergy test has been well received and is growing rapidly. This is a test that we developed for our Japanese customer base and launched at the beginning of the year. Turning to pharma and biotech. We saw good growth from this customer set in the quarter and our biopharma services business continues to perform well. One recent development in this end market that we're excited about is our new partnership with long time customers GSK and Pfizer. We signed an agreement with them to develop a universal next gen sequencing oncology test that could service a companion diagnostic for multiple drug programs. The goal of the diagnostic is to enable a comprehensive set of analysis of multiple and relevant genetic markers using a single test. With this information cancer patients could potentially benefit from therapies that are much more targeted to their tumor’s genetic profile. In academic and government conditions were very similar to Q2, with year-over-year improvement in North America, offset by weakness in China. So before I move on to the business highlights, let me give you some commentary from a geographic perspective. At a high level we haven’t seen any significant changes in our key geographies since last quarter. With that said, I do want to make comment on China. Our growth in China in Q3 was in the low single digits. A little better than Q2, but below what we included in our previous guidance. This was due to the slow release of funding by the Chinese government which is impacting revenue. The good news is that despite the conditions in China we again delivered mid single digit growth for the company overall. This speaks to the advantages we have through our global geographic coverage, diverse end markets and strength of our value proposition. Let me now shift to highlight some of the exciting new products we launched in the quarter that strengthened our leadership position and creates new opportunities for us to gain market share. As you know, innovation is a core element of our growth strategy and we’ve had a very strong year of new product introductions across our technology portfolio. Early in Q3 we launched a breakthrough UHPLC system, the Thermo Scientific Vanquish. This is a significant technology advancement because it solves two key issues for our customers in the applied markets. First, these customers need exceptional accuracy and precision as they separate out individual components and their samples. And second, they need to run their analysis faster to improve productivity and manage the high volume of samples in their labs. We also launched new Accucore columns that are specifically designed to optimize performance on the Vanquish system. Of course Vanquish runs on our to gold-standard Chromeleon chromatography data system making it a simple but highly effective tool for customers working in food safety, industrial or biopharma labs. In our Life Sciences Solutions business an important part of the integrations strategy is to accelerate growth by increasing the impact of new product launches. In the quarter we launched the Attune Acoustic Flow – Acoustic Focusing Flow Cytometer, which offers Life Science researchers both high sensitivity and high throughput for cell analysis. I was out with our team in Eugene, Oregon in August and it was great to see their excitement around this new generation technology. Attune is designed to provide multiple capabilities as single instrument, providing a cost effective and virtual solution for customer application ranging from biomarker discovery to cancer research. I also want to highlight several examples in the quarter that illustrate how we're supporting a growing trend that we talked about a lot. The convergence of life sciences tools and diagnostics. At AACC, the leading Expo in North America for clinical customers, we showcased expanded diagnostic offering of specialty assays, analytical instrument and genetic analysis technologies. We featured our ImmunoCAP and EliA test for allergy and autoimmunity testing, as well assays for drugs-of-abuse and transplant monitoring. For the first time we launched new analytical instruments in software that are now listed with FDA as Class I medical devices for clinical use. The Prelude MD HPLC, the Endura MD mass spectrometer and the ClinQuan MD software. In our next gen sequencing portfolio we showcased the Ion Torrent PGM and recently launched Ion Chef sample prep although at the time both instruments were intended for research use only. Since then however, we introduced the Ion PGM Dx system in both the US and Europe for clinical use. The PGM Dx will enable our clinical customers to more easily develop and implement new next gen sequencing diagnostic assays in their laboratories. This means they will be able to simultaneously screen hundreds of genes from patients samples with the rapid turnaround with tough time required in a clinical study. All of these new products are great examples of how we fulfill our mission, which is to enable our customers to make the world healthier, cleaner and safer. Another example of this is our involvement in the Ebola crisis. We're helping our customer whether they are in government agencies, hospital or industry to get the products they need to contain this global threat. We're providing a steady supply of necessary reagents to public health labs. Here in the US and globally that are screening to positively identify a Ebola in patients who show symptoms. These reagents are used in combination with two independent Ebola assays developed by the CDC and the DOD, both have received emergency used authorization. We also have more then 400 of our Applied Biosystems 7500 Fast Dx, qPCR platforms in labs around the world that have been authorized to run these tasks. Before I turn to our guidance, let me give you quick update on the Life Technologies integration. Our teams continue to make excellent progress implementing their plans and the revenue growth of our Life Sciences Solutions business is right in line with our acquisition assumptions. Last quarter you'll recall that we increased our expected synergies for 2014 to $100 million from the $85 million we announced when we closed the deal. I am pleased to say that we now expect to deliver a little more than a $100 million by the end of the year to accelerating some cost synergy actions. We also remain confident in overall adjusted operating income synergy target of $350 million for the year three which we highlighted at our May Analyst meeting. Turning now to our annual guidance. As you saw on our press release, we've updated our revenue and adjusted EPS guidance, primarily on the recent unfavorable changes in FX. We now expect revenue to be in the range of $16.74 billion to $16.82 billion which leads to 28% growth over 2013. This led us to tighten our adjusted EPS range to $6.87 to $6.95 for a 27% to 28% growth in 2014. The key point I want to make here is that despite the FX headwinds we maintained the mid point of our adjusted EPS range. Before turn the call over to Pete, let me leave you with a few thoughts about where we are at this point in the year. In terms of our top line growth, while certain emerging markets have been weaker than expected, we delivered solid growth for the company overall. The Life technologies integration continues to progress very smoothly. Finally, our strong financial performance over the past nine months and our intense focus on driving operational improvements are keeping us on track to achieve our adjusted EPS goal for the year. All of these achievements create a solid foundation for a strong 2015.
, :
Pete Wilver: Thanks, Marc. Good morning everyone. As usual, I'll begin with an overview of our total company Q3 financial performance, then provide some color on our four segments and conclude with a detailed review of our updated 2014 guidance. As a reminder, at the total company level, we’re reporting organic revenue growth using our standard methodology. That means we'll exclude the results of Life Technologies until we reach the one year anniversary date of the acquisition in early 2015. However as we’ve mentioned before for the Life Sciences Solution segment, we're providing organic revenue growth on a pro forma basis, as if we had owned Life Technologies for all of 2013 and 2014, to give you some insight into the growth performance of that segment. Additionally our results exclude Cole-Parmer from the date of the divestiture, August 15, consistent with our previous guidance. So starting with our overall financial performance. We grew adjusted EPS by 32% to $1.71. GAAP EPS was $1.17 in Q3, up 36% from $0.86 in the prior year. Looking at the top line. We delivered 4% organic revenue growth this quarter and total revenue increased 31% year-over-year. Q3 reported revenue includes 27 points of growth from acquisitions net of divestitures and an immaterial impact from foreign exchange. We strengthened our backlog slightly in the quarter with bookings a bit higher than revenue. By geography, North America grew in the mid single digits and Europe grew in the high single digits. Asia Pacific grew in the low single digits with China also growing in the low single digits as Marc mentioned. Rest of the world was mix, but in aggregate declined in the low single digits. Looking at our operational performance. Q3 adjusted operating income increased 48% and adjusted operating margin was 21.9%, up 250 basis points from Q3 last year. Our adjusted operating margin expansion for the quarter was driven primarily by the Life Technologies acquisition and achieving the related synergies. That said, we also continue to see strong contribution from our primary productivity levers: global sourcing, site consolidations and our PPI business system. We had margin expansion from FX in the third quarter, but we expect FX to be dilutive to our margin in the fourth quarter due to the significant strengthening of the dollar versus our major currencies at the end of Q3 and into early Q4. We realized $33 million of synergy benefits in Q3 and $73 million year-to-date. This puts us on track to slightly exceed the $100 million cost synergies we were targeting for full year 2014. During the quarter we continue to make strategic investments primarily to strengthen our core technology platforms and commercial capabilities to accelerate growth. Moving on to the details of the P&L. Total company adjusted gross margin came in at 49.1% in Q3, up 510 basis points from the prior year. This was primarily due to the addition of Life Technologies along with solid productivity across our businesses. Adjusted SG&A in Q3 was 22.9% of revenue, which is a 130 basis points unfavorable to 2013 quarter. Again this is primarily a result of the acquisition and was partially offset by volume leverage in our synergy and productivity actions. Finally, R&D expense came in at 4.2% of revenue for the quarter, a 120 basis points above the prior year. This reflects the impact of the relatively higher level of R&D investment in the Life Sciences Solutions segment. R&D as a percent of our manufacturing revenue in Q3 was 6.6%. Looking at our results below the line. Net interest expense in Q3 was $106 million, up $49 million from last year driven by the interest on the debt we raised to fund the Life Technologies acquisition. Adjusted other income for Q3 was $2 million, slightly higher than Q3 last year. Our adjusted tax rate in the quarter was 14.8%, 50 basis points below last year, primarily as a result of our acquisition tax planning. Our year-to-date rate was 15% in line with our full-year outlook of about 15%. In terms of returning capital, we paid out $60 million in dividends to our shareholders in the quarter. Average diluted shares were 403.7 million in Q3, up 36 million or 10% from last year primarily as a result of the shares we issued to partially fund the Life Technologies acquisition, and to a much lesser extent option dilution. Turning to cash flow and the balance sheet. Cash flow from continuing operations for the first nine months of the year was $1.67 billion and free cash flow was $1.42 billion after deducting $250 million of net capital expenditures. This is up significantly from our prior year cash flow primarily as a result of increased operating earnings from the acquisition and standalone business partially offset by acquisition related interest expense and cash payments tied to the acquisition and related divestitures. We ended the quarter with $544 million in cash and investments, down $62 million sequentially from Q2. We used the Cole-Parmer proceeds and cash generated in the quarter along with surplus cash on the balance sheet to pay down short-term debt during the quarter. As a result, our total debt at the end of Q3 was $14.5 billion, down $1.1 billion from Q2. Our leverage ratio at the end of the quarter was 3.9 times total debt to adjusted EBITDA and we remain on track to achieve our target leverage ratio of 2.5 to 3 times in Q3, 2015. So let me wrap up my comments on the total company with my usual update on our performance in terms of return on invested capital. Our trailing 12 months adjusted ROIC in the third quarter of 2014 was 9.3%, flat to Q2. This is a good result as increased returns across the business offset the short term dilution of adding another quarter of the Life Technologies investment into the average invested capital base. So with that, now I’ll walk you through the performance of our four business segments. Starting with the Life Sciences Solution segment, in Q3 total revenue grew to $1.07 billion from $167 million in the prior year, primarily as a result of the Life Technologies acquisition net of the divestitures. On a pro forma basis, assuming Life Technologies was owned for the entire quarter in both periods, organic revenue grew 3% for the second quarter in a row. In the quarter we saw a strong growth in our bio production, next generation sequencing and cell biology businesses and we also saw a good growth in our applied markets, including human identification and animal food and environmental. Q3 adjusted operating income for Life Sciences Solution increased significantly, primarily as a result of the acquisition and achieving the related synergies, with adjusted operating margin up 530 basis points to 28.6%. In the analytical instruments segment both reported and organic revenue grew 3%. In the quarter we had very strong growth in our chromatography and instrument services businesses, which was partially offset by the weakness in China very similar to last quarter. Q3 adjusted operating income in analytical instruments increase 5% and adjusted operating margin was 17.5%, up 40 basis points. We delivered very strong productivity and saw a positive contribution from FX that were partially offset by a strategic growth investments and unfavorable business mix. Turning to the specialty diagnostic segment, in Q3 total revenue grew 7% and organic growth was a very strong again at 6%. We continue to deliver strong growth across much of the portfolio. As Marc mentioned, our immunodiagnostics business had a very strong quarter and growth in our clinical diagnostic business was notable as well. Adjusted operating income in the segment increased 10% in Q3 and adjusted operating margin was 27.6%, up 70 basis points from the prior year. In the segment, we had strong pull-through on the organic growth, good productivity and a positive benefit from FX, partially offset by strategic growth investments. In the laboratory products and services segment, Q3 reported revenue grew 2% and organic revenue grew 4%. Our biopharma services business continue to have good performance. The segment also benefited from continued improvement in our US academic and government end market, as well as an increased impact of our customer value proposition in industrial markets. Adjusted operating income in laboratory products and services grew 1% for the quarter and adjusted operating margin was 15.1%, down 30 basis points driven by unfavorable business mix and the Cole Parmer divestiture, partially offset by strong productivity. So with that, I’d like to review the details of our update full-year 2014 guidance. As you saw in our press release, we’re updating our guidance to reflect our strong year-to-date performance and the impact of the recent unfavorable currency fluctuations. Stating with revenue, with one quarter to go we're tightening the range by $40 million and lowering the mid point by $140 million. This changes solely a result of the unfavorable FX impact of current rates on total company revenue for the remainder of the year. This leads to our new full year 2014 revenue guidance of $16.74 billion to $16.82 billion which represents year-over-year growth of 28%. On an organic basis, we’re still expecting standalone organic growth for full-year 2014 of 3% to 4% no change from our previous guidance. As I mentioned earlier, our total company organic growth does not include results of Life Technologies. For the Life Sciences Solutions segment, we still expect pro forma organic growth of 2% to 3% for full-year 2014 also unchanged from our previous guidance. In terms of FX, assuming recent rates, the year-over-year foreign-currency impact on our standalone revenue for the full year has gone from about 50 basis points positive in our previous guidance to about 25 basis points negative in our current guidance. We're experiencing a similar unfavorable impact due to the change in FX rates on our Life Sciences solutions revenue, although this is reflected as acquisition revenues rather than FX in our organic growth calculation. In terms of margin pull-through on total FX revenue, we’re now expecting a minimal positive impact for the full year, down considerably from our previous guidance. Although we've seen a margin benefit from FX year-to-date, we're assuming a fairly significant negative impact in the fourth quarter due to the recent change in rates. Consistent with past practice, we haven't attempted to forecast future foreign currency exchange rates and our guidance does not include any future acquisitions or divestitures. Moving to adjusted EPS, as you saw in our press release, we’re maintaining the mid point and tightening the range consistent with revenue range and reflecting our strong financial results year-to-date. This leads to a new full-year 2014 adjusted EPS guidance range of $6.87 to $6.95 which represents growth of 27% to 28% over our 2013 earnings per share of $5.42. As mentioned earlier, although we have significant unfavorable earnings impact from FX compared to our previous guidance, which results in about a $0.07 of adjusted EPS headwind, we're not changing mid point of our adjusted EPS guidance. We expect to offset the FX headwind with a combination of incremental productivity and accelerated acquisition cost synergies, along with about $0.01 of below the line benefit. Turning to adjusted operating margin, we’re expecting roughly 250 basis points of expansion to about 22% at the higher end of our previous guidance. Moving below the line, we’re expecting net interest expense to be in the range of $425 million to $435 million, consistent with our previous guidance. And as I mentioned earlier, we’re still expecting our adjusted income tax rate to be about 15% consistent with our previous guidance. In terms of capital deployment, we’re still assuming that we'll return approximately $240 million of capital to shareholders this year through dividends. And we're also assuming that we'll continue to use the bulk of our free cash flow to pay down short-term debt. Full year average diluted shares are estimated to be in the range of 402 million to 403 million, up about 10% from 2013 and consistent with our previous guidance. We’re expecting net capital expenditures to be in the range of $410 million to $430 million, down about $50 million from our previous guidance, based on actively managing our project spend, as well as identifying some duplicate investments as we get further into the integration. Finally, in terms of full-year 2014 free cash flow, we are maintaining our previous guidance of about $2.2 billion. We made good progress on cash flow year-to-date. But as I mentioned on last quarters call, we'll need perform very well in Q4 to offset the cash tax headwind created by the one time gain we realized from the Cole Parmer divestiture. As always, in interpreting our full year revenue and adjusted EPS guidance ranges, you should focus on the mid point as our most likely view of how we see the year planning out. Results above or below the mid point will depend on the relative strength of our markets during Q4. So in summary, we delivered a very strong quarter which positions us well to achieve our financial goals for the year. With that, I’ll turn it back over to Ken.
Kenneth Apicerno: Thanks, Pete. Melissa, we’re ready to open it up for Q&A.
Operator: (Operator Instructions) Your first question comes from the line of Ross Muken from ISI Group. Your line is open.
Ross Muken - ISI Group: Good morning, gentlemen.
Marc Casper: Good morning, Ross.
Ross Muken - ISI Group: So, lot of color so thank you. But can you give us a little bit of sort of understanding of the trending on a geographic base in sort of the Europe business, as well as sort of Asia-Pac and I guess more specifically China as we kind of pace through the quarter and how it sort of matched up to the degree you can dig down on the bookings line you know, there is obviously lot of macro concern in both of those regions. I was just trying get a feel for which parts of your business are showing sort of strength or more stability, in which parts you're probably much more concerned about in those geographic areas?
Marc Casper: So Ross, thanks for the question. So let's start out with Europe. And you’ve heard us talk many times in the past, we see Europe as a low single digit market from a growth outlook, and we’ve said that consistently. Our team is executing extremely well in Europe. We actually delivered high single digit growth in the quarter. Our diagnostics businesses which have reasonable exposure to the European market, particularly immunodiagnostics and clinical diagnostics have large presence there. They are both doing extremely well. Our biopharma services business did very well in Europe. So the team is executing well and while we don’t think that’s going to be a high single digit growth you know, really on a long-term basis, you know, team is doing great. So that’s positive. Asia Pacific, really the story in Asia Pacific is really around China which is the way you reflected in your question. When I think about what's going on in China, we delivered low single digit growth in the quarter which actually is a little better than what we had in Q2. But it was below the expectations that we had – as we thought about last quarter. What we saw in China was a slow release of funds across the markets and we think that’s been driven by the government both in how they’ve reorganized the food safety administration, as well as their focus on transparency and you know, cracking down on corruption that the approval times to get fund releases is definitely extended significantly. From a longer term perspective, we continue to remain very positive on China. Our strategy is unchanged, so we have a tremendous advantage of scale, a great team and we're very well aligned with the Chinese priorities, which is you know clean waters, safe food, better environment, expanding healthcare capabilities. So long-term it’s good, but short term has been quite uncertain. So I sum it up in this way, revenue growth has been mid single digits through the first nine months is what is averaged out to be. Bookings has been stronger than that, so customer activity remains high, but funds are slow to release and as we look at the fourth quarter in the uncertain environment what we're assuming is a wider range of outcomes somewhere from low to mid single digit growth in the fourth quarter.
Ross Muken - ISI Group: Thanks. And maybe just talking to kind of the performance overall in the quarter. I mean, I am looking at the market right now, it looks like people are kind of implying that this was sort of a disappointing result, I mean, we took it as more and sort of in line. I mean, as you think about your execution year-to-date how the quarterly EPS is sort of paced and how that’s tracked versus your original expectations, how would you kind of characterize today's result and it seems like the overall 4% organic growth for a choppy macro is a pretty good outcome, I'd be curious how you think about that as well relative to peers?
Marc Casper: Yeah. So when I look at where we are at nine months, year-to-date or in Q3 clearly from the beginning of the year, China is slower than I think what anybody would have anticipated if we're sitting here in January. And we are right on track to delver the organic growth outlook that we did. So you know, North America has gotten better and the team has executed very well. So I feel good about that to say we're right in track with 3% to 4% organic growth for the full year. I am also very pleased with the organic growth rates of our Life Sciences Solutions segment which is doing better than it had done for several years in the past, you know, and I don’t get excited about 2% to 3% growth in terms of our outlook. But you know it’s one thing to say it and another thing to actually do it and the team has done a good job of delivering that range of growth. So I feel good about that. Our primary metric is adjusted EPS and we are doing an excellent job of delivering strong earnings growth. That’s a combination of the synergies, the combination of a smooth integration and the power of our PPI business system. And when I look at the outlook, you know when I think about having a $0.07 headwind because of change in FX rates at the end of September an into October and the company's ability to offset that fully at the mid point of our guidance, I think it gives you a sense of the power of the execution model and really it sets us out for a very strong 2015. So that’s the high level; our job is to power through the challenges and what we do is to explain what's going on, but at the end of day we're going to put up good results and we put up good earnings growth in Q3.
Ross Muken - ISI Group: Great. Thanks, guys.
Marc Casper: Thanks, Ross.
Operator: Your next question comes from the line of Tycho Peterson from JPMorgan. Your line is open.
Tycho Peterson - JPMorgan.: Thanks, guys. Just following up on the guidance, you know, can you maybe talk about whether it’s stronger to offset China being weaker than anticipated for the fourth quarter and other aspects where you're seeing a little bit more incrementally positive [Inaudible] in the year end?
Marc Casper: Yeah, if you look at it geographically North America we're expecting to be a bit stronger than when we had given the guidance quarter ago and when you think of it from an end market perspective, industrial and applied and healthcare and diagnostics will be a little bit stronger than what we would have said three months ago.
Tycho Peterson - JPMorgan.: Okay. That’s helpful. And then thinking a little bit about the capital deployment priorities and you're heading into next year is you know, you are at a point where you can start to at least think about deploying a little bit more capital. Can you maybe just talk about the M&A pipeline and how you're thinking about opportunities there, should we think about bolt-ons or potentially larger deals?
Marc Casper: Tycho, thanks for questions. So first on the capital deployment side of the equation. We paid down over a $1 billion in debt in the quarter. We are on track to hit our target leverage ratio in Q3 of next year. I think based on how well the integration is going and based on us delivering on the cash flows that we expected to delver, we feel confident and comfortable as we move into 2015 to once again start our disciplined, capital deployment strategy. So we don’t feel required to wait until Q3 when we actually achieved the target leverage ratio, but actually you know sometime earlier in the year be able to begin executing it. In terms of the M&A pipeline, there is always a pipeline of activity that we look on and there is always a steady stream of bolt-ons that we would – wouldn’t have been evaluating. So the team has been active and I would expect over time you'd see us to do some things. The reality is as you know from the many years of covering the company is, we don’t assume any M&A is going to happen. We just assume that we'll have a good pipeline and if we like the fit of a deal and how it helps our customers and if it gives us the returns that we want then we'll go ahead and execute against it. So, not much has changed from that dynamic.
Tycho Peterson - JPMorgan.: Last one, there was some noise lately around the Kinetica software platform, can you maybe just talk about you know how important that is in the grand scheme of things and next steps and the degree to which you could ultimately be liable if at all for growth if that have been approved?
Marc Casper: Yeah, thanks for the question. In terms of Kinetica tiny product line, I had to look it up over the last 10 years in total we sold about $1 million worth of the product, okay, so it’s in the infinitesimal side. We take the issue very seriously obviously and the team is conducting a very thorough internal review. In terms of the potential impact, in the US it seems to be a non-issue as the FDA has stated clearly that it independently analyzes the bio equivalence data in their generic drug approval process. So, that doesn’t seem to be an issue and we're right now going through and confirming what the processes are in Europe in particular to understand that better. So that’s where we are with Kinetica.
Tycho Peterson - JPMorgan.: Okay. Thank you. And congrats on the quarter.
Marc Casper: Thanks.
Operator: Your next question is from the line of Derik de Bruin from Bank of America Merrill Lynch. Your line is open.
Derik de Bruin - Bank of America Merrill Lynch: Hi, good morning.
Marc Casper: Good morning.
Pete Wilver: Good morning, Derik.
Derik de Bruin - Bank of America Merrill Lynch: Pete, just though we have little bit of basis then with people you know as we started thinking about 2015. Can you just give us sort of what you think at today's rate the FX hit would be on '15 just to help us little bit better tell where your model?
Pete Wilver: So, it’s a little early for us to comment on 2015, but obviously we'll provide a complete guidance as we normally do. In January on Q4 earnings call that said, if today's rates were to hold over the course to next year that would clearly be a revenue and earning side when compared to where we are today. In terms of the magnitude, we'll get into that when we provide detail guidance in January.
Derik de Bruin - Bank of America Merrill Lynch: Okay. You the lab products and services business is been remarkably strong for the last couple of years and you've been pushing up 4% organic revenue growth its been averaging and lot of that’s been driven by the biopharma services business, and what some broader thought on the LPS business, is it sort of stay at that rate is it normalized more back towards of 8% range going forward. I am just curious in terms of the stability in the business?
Pete Wilver: Yeah, so when you look at the lab product and services business, it is the heart of Australian productivity for our customer and which is why the business has continued to and has a you know continue to do well and has a bright outlook effectively the combination of our channel which allows customers to manage the huge complexcity of life science tools is in their research labs the biopharma services business which drives significant productivity in the R&D process in the clinical trials logistic outsourcing and our very large base of equipment and consumables that are used every and everyday in every laboratory help our customers speculate choice on those products, means that what we do here is very relevant. Team has executed very well. We've had you know a good base of customer continuing to take advantage of our capabilities and we've delivered good growth. Whether it will be three or four in any given quarters it’s you know it’s hard to predict. But exactly but I do feel good about the growth prospects of the business Derik.
Derik de Bruin - Bank of America Merrill Lynch: Thank you so much. I'll get back in the queue.
Pete Wilver: Hey, Derik, one other just clarification on your question about FX, so as I mentioned in my comments we have only been reporting the FX revenue and impact related to standalone this year but obviously going into 2015, somewhat what we've been referring to as in a day [Golompus] acquisition, we'll be FX, so you have to take into account the impact of FX on the Life Sciences Solutions revenue as well. So the number will be just as a starting point be bigger in terms of revenue outlined US dollar.
Derik de Bruin - Bank of America Merrill Lynch: Right, I many know life had a lot more, your exposure certainly and your margins that trend, that’s where I was getting, just a little bit of magnitude on hitting back.
Pete Wilver: Yeah, as well as yen.
Derik de Bruin - Bank of America Merrill Lynch: Got you. Okay. Thanks.
Kenneth Apicerno: We'll make sure we bridge there very carefully when we get into January.
Derik de Bruin - Bank of America Merrill Lynch: Thanks.
Operator: Your next question comes from the line of Doug Schenkel from Cowen & Company. Your line is open.
Doug Schenkel - Cowen & Company.: Hey, good morning guys. And thanks for taking the questions. So I guess to somewhat related questions, the first is really life tech synergies, recognizing the update you provided indicates that you guys are tracking are smidge ahead of planned, based on prior Thermo deals and recognizing I think a lot of us thought there were lot of inefficiencies within life check. I think it’s fair to assert that the expectation in the investment community were a little bit higher for upside relative to your synergy targets, you guys seem pretty happy with this. And I guess what I am wondering is that part of this is because you think you are on the cost of an acceleration in the pace of synergies and I make this point largely because as you talked about you maintained EPS guidance for the year in spite of some you know pretty now intense FX headwinds heading into Q4 and without China coming back when you essentially raised underlying EPS guidance for the year by $0.07 even fastening in FX. I mean you guys did acknowledge that you do expect deal synergies to be part of this so I am just wondering if you think you're on the cost but really accelerating the pace of deal synergies associated with the life deal?
Marc Casper: So, those are few things, we have been obviously tracking ahead of the synergies both in the first year and in the longer term right. So from the first year we've actually increased three or four times one of the thins that we really don’t like to do is actually is that and it almost sounds cute, that we're raising by x million each quarter, that isn’t the way we like it, first off its simple reason that it affects our colleagues right, and therefore I actually don’t like the dynamic of talking too much about it, but rather you know whether we are on track to achieve our broader goals. I think given the magnitude of the FX headwinds you know we clearly as a team have been driving productivity hard across the entire business, so which every business is focused on and not into Life Science Solutions business as well. So yes we are accelerating the synergies and we're also accelerating cost reduction across the company because that’s the right thing to do in terms of the environment that we're living in. So that’s how we think about it I feel excellent about the 350 and what I can say is that we never stop looking for synergies both on the revenue and cost side and while we don’t use that language inside the company today we're still getting benefits from the combination of Thermo Fisher which happened seven years ago, right. So we don’t call it a synergy but we talked about it as our customer value proposition we talked about it as our strength in emerging markets and we're constantly look for upsides.
Doug Schenkel - Cowen & Company.: Okay. Thanks for that Marc. And Pete I want to take a I guess a more direct shot at following up on Derik FX question, I mean obviously none of us want to predict where rates are going, but if we look at current levels would you disagree that FX looks like about a 2% headwind at the top line and you know I guess that’s first part. The second part would be, should we be thinking as far as through at a similar rate what we've done in the past or is it drastically different because of the life deal as you started to talk about. And then I guess the third part to this would be keeping in mine that you did talk about essentially powering through $0.07 of incremental headwinds in Q4. How should we think about your ability to power through even more intense headwinds of the FX line next year? Thank you.
Pete Wilver: So in terms of total revenue, so I you are looking at the $17 billion number its less than 2% its some where in the range of $1.5 but probably be a better number, I don’t have the exact calculation in front of me, in term of pull-through its more then what it was for standalone, Thermo Fisher historically which was generally at the average pull through of the company because as you say when we add life technologies they have much more revenue in foreign currency primarily the euro and yen than they have cost. So we're exposed a little bit more there. In terms of our ability to get the power through and offset the whole thing in 2015 it’s other scale that makes that very difficult. Obviously when we go to our planning process we'll be looking at that and determining what leverage we have to pull in terms of incremental restructuring, accelerating synergies just incremental productivity on all the normal things that we do PPI business system global sourcing the whole mix of what we have to attack those types of things. So as I said before we'll give you full view in January on what our plan is but it’s a big impact to offset completely.
Doug Schenkel - Cowen & Company.: Okay. Thanks, Pete.
Operator: Your next question comes from the line of Isaac Ro from Goldman Sachs. Your line is open.
Isaac Ro - Goldman Sachs: Good morning, guys. Thanks.
Pete Wilver: Hi, Isaac.
Isaac Ro - Goldman Sachs: Hi, If you could talk a little bit about the pricing environment have interested specifically in your comments around pricing and LPS and analytical technology?
Pete Wilver: Yeah, so in terms of pricing environment very similar to what we seen over the last few quarters price is slightly positive in terms of the environment in terms of the – products and services I would say pretty similar to the average of the company and in terms of analytical instruments generally pricing is been okay, we have such differentiation in most of our product lines and such high level of vitality where we only where price is just function of new products in a way its less so and then in a very competitive segments of in areas like maybe commodity material maybe pricing is a little bit more challenged but again positive pressure overall.
Isaac Ro - Goldman Sachs: Great. And then maybe in the OSS segment, could you talk a little bit more about the initiative you have in place to continue accelerate the organic growth profile versus what we saw before the acquisition and then maybe secondly for Pete as you talk little bit about how we should think about incremental margin opportunities across the very segments I would assume its high – so in a short terms asses given the synergies but just overall longer term period incremental margin by segment would be an interesting sort of general conversation to have?
Marc Casper: So in terms of what the team is executing on the growth side of the equation within Life Science Solutions, you know first of all independent the companies were independent and newest opportunities the revenue synergies right, so in the revenue synergies leverage our presence in emerging markets they leverage our corporate accounts and customer value proposition and the strong e-business capabilities for the two companies, right. So there is significant revenue synergies that start to generate next year and accelerate over time so that’s one. Then in the base business excluding kind of revenue synergies within life science solutions you know we are focused on improving the impact of innovation that is clearly a big emphasis of the team. The Attune launch is a good example, we have efforts to accelerate growth in qPCR some interesting things that we're working on in the human identification area and forensic. So there is a number of things in the large installed base of very technically excellent products that we're working on you know really picking up the growth rate and then of course next gen sequencing is part of that as well and getting that business which is actually gone quite well to continue to strengthen its position and drive growth as well.
Pete Wilver: And then in terms of margins just at a very high level as you said life sciences solutions is going to benefit from both from synergies but of course they have regular margin expansion and productivity goals like all the other businesses. Analytical instruments we probably be second in terms of year-over-year margin expansion just based on the fact that obviously its all self manufactured products and its lower than the average margin for the company, especially diagnostics and next because this all self manufactured products as well expect for the healthcare channel and margin is relatively high, so its little bit higher to get margin expansion and then in laboratory products and services we have the impact of the channel so it’s a little bit more difficult to expand margins year-over-year there.
Isaac Ro - Goldman Sachs: Got it. Thanks so much guys.
Pete Wilver: Yeah.
Operator: Your next question is from the line of Steve Beuchaw from Morgan Stanley. Your line is open.
Steve Beuchaw - Morgan Stanley: Hi, good morning. Thanks for taking the questions.
Pete Wilver: Good morning.
Steve Beuchaw - Morgan Stanley: I'd like to spend just a bit more time on China, maybe a couple there, one Marc when you see the recovery in China, where do you think it shares up what segments of the end market and as you think about how the business there grows in 2015, assuming that budget start flowing again later in the year, could we see a period of accelerated growth with easy comps or do we remain in a some what slower growth environment albeit and potentially better than we've seen in 2014?
Marc Casper: So, in terms of where we have the most exposure to China you would seen in the analytical instrument segment in terms of our presence there so that would be the beneficiary – the biggest beneficiary. In terms of 2015, obviously the comparison is going to be much easier next year versus the comparison we have next year so that’s a positive factor we're still uncertain to know when the flow of funds is going to pick up so that one I had less visibility to. And so that will be some thing we have to think.
Steve Beuchaw - Morgan Stanley: Okay. Thanks for that. And then one on instruments, the commentary coming out of the ASMS was very positive, the commentary on Vanquish has been optimistic if you look at that business and how its trending if you cold do this excluding the drag from China can you talk about whether you are seeing any organic pick up there as a function of the new products for this year and if not how you think that might emerge going forward? Thanks again.
Marc Casper: Yeah. So new products Mass-spec are doing very well so I feel good about that, we had a very strong American Society of Mass Spectrometry show, chromatography business is doing well, I look at the nine moths year-to-date in those businesses I feel good about the performance; in that segment you know we have large industrial exposure with our chemical analysis business particularly around mining and commodity materials which continues to be quite weak so I think that’s somewhat reflected in the number. So if you take the other angle you say, outside of China how is our chrom and mass-spec business is doing, it’s doing quite well. So I feel good about - that’s different ones to think about it, it’s doing quite well.
Steve Beuchaw - Morgan Stanley: Thanks, Marc.
Marc Casper: You're welcome.
Operator: Your next question comes from the line of Steve Willoughby of Cleveland Research. Your line is open.
Steve Willoughby - Cleveland Research: Morning, thanks for taking my call. I just wondering if you could provide any thoughts you have regarding the competitive environment now with your acquisition of Life Tech obviously there is been some other large moves recently just wonder if you could provide what are thoughts are on the competitive environment and you know if there any impacts from Sigma-Aldrich being acquired now, on Thermo Fisher?
Marc Casper: Yeah, I mean, we've in a consolidating industry we've been driving the consolidation and that trend continues. So that’s something that we've been anticipating for a long period of time, its taken while for the industry consolidate and we expect that will continue to do so. There is still huge avenge of scale and you know there is huge avenge of – capabilities and we have a big, big hedge stars as the industry leader in terms of executing against it and we keep looking to strengthen our portfolio and do a great job serving our customers and we do that we feel we're very well positioned to grow our market share and strengthen our industry leadership position. So that’s how would see it right now.
Steve Willoughby - Cleveland Research: Okay. And then just a little bit more of an near term question, a year ago it seems like the fourth quarter for many companies in the industry benefited from a year end budget flush to varying degrees and consequently you have a little bit more difficult comps here in the fourth quarter. Based on my math it looks like your guidance implies roughly kind of 3% to 5%, 5.5% organic growth in the fourth quarter. Just wondering you know what are your thoughts are and how you're going to be able to overcome the more difficult comps here in the fourth quarter versus what you've been experiencing so far this year?
Marc Casper: Yeah, so in terms of the guidance for the fourth quarter, if you kind walk you away to the math which I obviously do real quick real time, its about 2% to 4% organic growth in the quarter that’s the range which would then when you kind of do all the math which put you at the 3% to 4% for the company for the full year. So that’s what implied in the guidance.
Steve Willoughby - Cleveland Research: Okay. Thanks very much.
Marc Casper: You're welcome.
Operator: Your next question comes from the line of Jeff Elliott from Robert W. Baird. Your line is open.
Jeff Elliott - Robert W. Baird.: Good morning, guys. Thanks for the question.
Marc Casper: Morning.
Jeff Elliott - Robert W. Baird.: Pete, first one for you, on FX you mentioned that the $0.07 incremental headwind, is that just on the standalone thermal business does that include the wide portion as well?
Pete Wilver: No, that includes the live portion as well.
Jeff Elliott - Robert W. Baird.: Okay. So all in number there. And then Marc just you've given some color on Naspac, I guess can you talk just about the kind of the high end business, not just the new instruments but overall high end Naspac what’s the competitive environment there now?
Marc Casper: To exact to the fusion doing great, strong bookings from revenue, so we feel good about our position in terms of how we're doing at the high end we continue to bring out a stead stream new products and they are very received in the marketplace.
Jeff Elliott - Robert W. Baird.: Okay. Thanks, guys.
Marc Casper: You're welcome.
Pete Wilver: Mellisa we have time for just one more.
Operator: Your last question comes from the line of Dan Arias from Citigroup. Your line is open.
Dan Arias - Citigroup: Hi, good morning guys. Thank you. Marc on the academic markets, can you just give a little bit more color on the extent to which the improvement that you know there was a year-over-year fact on easier compare whether you're really seeing some material spending pick up there just once you get a better feel for what the federally funded folks feeling?
Marc Casper: Yeah, so academic and government Q3 was incredibly similar to Q2 so the North American environment or the US environment can was positive and the last two quarters was much better than the previous quarters. So you saw as we followed in the year that funding would flow through the systems it is you know it’s robust but it’s clearly its growing which is very good. The offset has been China – but now that is still low single digit growth I feel good that all for the end markets are back to a positive growth environment.
Dan Arias - Citigroup: Okay. Great. And then China, I you could just touch one additional point, last quarter you mentioned that even though the environment was difficult you felt good about not seeing order cancellations its fair to say but that’s still the case this quarter and when the team looks out the next quarter or two that they feel good about what's in the books staying in book?
Marc Casper: Yeah, the environment is continuous to be consistent with that and the team is focused on turning those bookings into revenue.
Dan Arias - Citigroup: Very good. Thanks.
Marc Casper: Thank you. Let me wrap with a few thoughts, the first of which is 2015, we'll get into the guidance process as we normally do in January but let me make a couple of those comments so that because they kind of bit choppy in a way all the questions came out/ the first of which is you know if we were fast forwarding to the FX environment that we are in at this moment time sure that would be a headwind we're going to have some positives which is synergies will continue to ramp up we're going revenue synergies starting to flow and we'll be returning to capital deployment. The way that we will always judge the company is when we're sitting across with any of the member of the investment community are we managing the company extremely well and what ever the environment is and if we can answer that question and the investor would say yes you're managing the company extremely well, then that’s really going to be the output of the financial goals we have for the year. So I feel like we'll get into all the details of it and we'll use the best information we have back in January to articulate that. From the perspective on the quarter that we just finished, you know, we have to be delivered strong quarter it puts us in excellent position to achieve the goals that we had set out for the year and we're excited about doing that and setting ourselves up for strong 2015 an of course thank you for all the support at Thermo Fisher and we look forward to coming back to you at the beginning of the year and reporting on our progress.
Operator: This concludes today’s conference call. You may now disconnect.